Operator: Good morning, Welcome to Trisura Group Ltd.'s Third Quarter 2023 Earnings Conference Call. On the call today are David Clare, Chief Executive Officer; and David Scotland, Chief Financial Officer. David Clare will begin by providing a business and strategic update followed by David Scotland, who will discuss financial results for the quarter. Following formal comments, lines will be open for analyst questions. I'd like to remind participants that in today's comments, including in responding to questions and in discussing new initiatives related to financial and operating performance. Forward-looking statements may be made including forward-looking statements within the meaning of applicable Canadian and US Securities law. These statements reflect predictions of future events and trends and do not relate to historic events. They're subject to known and unknown risks, and future events and results may differ materially from such statements. For further information on these risks and their potential impacts, please see Trisura's filings with securities regulators. [Operator Instructions] Please be advised today's conference is being recorded. Thank you. I'll now turn the call over to David Clare.
David Clare: Thank you. Good morning, everyone, and welcome. Trisura's third quarter was strong. Insurance revenue grew 33%, and we reported a 20% operating return on equity. Momentum continues as we scale an increasingly diversified specialty insurance platform. Results were particularly striking in Canada, with 30% growth in insurance revenue supported by a below 80% combined ratio. Our US fronting business produced $510 million of insurance revenue, an increase of 34% over the prior year. In Canada, we saw top line growth across all lines. fronting and surety led the way, fronting driven by a more mature platform and the growth in surety supported by market share gains and contribution from our sovereign acquisition and US expansion, as well as continued momentum in core lines. Corporate Insurance continued to benefit from expansion of distribution partnerships and stable pricing. With the launch of corporate insurance in the US market, we're excited to see the potential of a North American-wide platform. Importantly, disciplined underwriting drove a 10% loss ratio, improved from a strong comparative year and below long-term averages as we benefited from increased diversification and nuanced risk selection. Our expense ratio improved slightly in the quarter due to lower commission rates in the period and remains in line with expectations. The Canadian platform generated a 75% combined ratio in the quarter, which together with an increased scale and enhanced investment income supported a 30% operating return on equity. US fronting generated $510 million in insurance revenue in the quarter, growing 34% over Q3 2022 despite the cancellation of the program associated with the Q4 2022 write-down. Maturation of existing programs and favorable pricing trends drove top line. We have grown our admitted capabilities and saw $76 million in admitted revenue in the quarter. However, market conditions continue to drive opportunities to access and surplus lines. US fronting generated $21 million in fees, a 14% increase and recorded $43 million of deferred fee income, indicative of future fronting fees to be earned. Operating results in the quarter were strong and demonstrate progress made on improved profitability in our US platform. Loss ratio was 70% in the quarter, excluding the impact of runoff and decreased due to lower claims activity as well as an increase in yields used to discount claims reserves. Fronting operational ratio was 86%, excluding the impact of runoff higher than we target as a result of evolution of business mix and retention, seasonality and slightly higher reinsurance costs. We continue to expect fronting operational ratio in the low 80s to high 70s in 2024. We growth, profitable underwriting, and a significant increase in investment income, which rose almost 200%, contributed to a 52% increase in operating net income in the US This supported a 15% operating return on equity despite capital contribution through the last 12 months. A combination of higher interest rates, growth, profitability and our August 2023 capital raise resulted in a 105% increase in investment income, more than doubling our prior year. On an annualized basis, investment income is expected to reach almost $55 million. Importantly, our portfolio is more conservatively positioned than ever before, with a lower equity allocation, shorter duration and higher allocation to investment-grade bonds. We are excited about the enhanced risk-adjusted yields we are capturing for years to come. Increased investment income alongside growing profitability from Canadian and US fronting operations are contributing to a higher proportion of earnings from more predictable sources, combining that with an established track record of industry-leading underwriting results gives us confidence in our goal of $1 billion in book value by the end of 2027. We continue navigating the approval process for the Treasury list Security Company announced last quarter. This is an important step in our journey to become a more significant player in the US market and build on established momentum in that business. We exceeded $18 million in US Surety premiums year-to-date. During the quarter, we raised $53 million in equity capital with the majority of proceeds booked marked to capitalize our growing US surety presence. I'd like to thank our partners for their continued confidence. We have never taken the decision to raise equity lightly and look forward to deploying our new capital efficiently on your behalf. We observed healthy, albeit stabilizing pricing trends across most lines in the quarter and continue to expect hardening trends in certain lines to balance, although not reverse next year. This will be informed by the state of the reinsurance market as well as economic and interest rate trends, and we feel well equipped to navigate this environment. As we did in the first half of the year, we provided an update on the runoff program in advance of quarterly reporting. Accelerated policy cancellations have reduced the exposure of this program and in conjunction with the strong US dollar resulted in a slightly higher impact to reported earnings. We believe a conservative posture on protection through runoff, resulting in a short-term income hit as a logical trade-off and look forward to the program being substantially run off by year-end. Trisura's momentum continues, and we remain committed to disciplined underwriting and structuring standards as well as conservative reserving. The market remains uncertain, although it is our hope that volatility will provide opportunities to win business and strengthen our reputation, and we feel confident we can navigate changes in economic outlook. We continue to plan for growth and with a strong capital base and greater scale, we feel optimistic for the years ahead. Our equity base is just shy of $600 million, a healthy increase from year-end and a high watermark for Trisura. With that, I'd like to turn the call over to David Scotland for a more detailed review of financial results.
David Scotland: Thanks David. I'll now provide a walk through our financial results for the quarter and year-to-date periods. As a reminder, the 2023 results reflect the implementation of IFRS 17, the new accounting standard for insurance contracts, which has been applied retroactively. And as a result, our 2022 results have been restated to reflect the new standard. 2023 also reflects the implementation of IFRS 9, the new accounting standard for financial instruments, which has not been restated retroactively. The new standards have led to a number of changes in the presentation of both the income statement and the balance sheet. Insurance revenue was $730 million for the quarter and $2 billion year-to-date, reflecting growth of 33% and 43%, respectively, over the prior year. Insurance service expense, which consists of amortization of insurance acquisition cash flows such as commissions, claims expense and other operating costs increased in the quarter and year-to-date periods, primarily as a result of growth in the business, leading to an increase in volume of claims and commissions expense. Net expense from reinsurance contracts, which includes both premium paid to reinsurers as well as recoveries from reinsurers increased in the quarter and year-to-date period as a result of growth in the business, which has led to more reinsurance ceded, particularly from fronting. Insurance service results in Canada for the quarter and year-to-date periods was greater than the prior year as a result of growth in the business and a low loss ratio. Insurance service results in the US for the quarter end and year-to-date periods was lower than the prior year as a result of the impact of losses generated from the runoff program. Excluding the impact of the runoff program, insurance service result was greater than the prior year as a result of growth in the business. For year-to-date 2023, the combined ratio in Canada was 79%, which is lower than the prior year, primarily because of a lower loss ratio. In 2023, the fronting operational ratio in the US was 101% and without the impact of the run-off program was 83.9% for the year-to-date period, which is greater than the prior year, primarily as a result of some additional reinsurance costs. Net investment income more than doubled in both Q3 and year-to-date 2023 as a result of an increase in the size of the investment portfolio, but also benefiting from higher risk-adjusted yields. Net loss from investments was $8.7 million for the quarter and $17.8 million year-to-date, primarily as a result of unrealized losses on investments held at fair value to profit and loss under IFRS 9 as well as foreign exchange business. Other operating expense, excluding the impact of share-based compensation, which is mitigated through a hedging program increased by 18% for the quarter and 19% for the year-to-date period. Net income for the group was $14.8 million for the quarter and $55.6 million year-to-date. Operating net income, which adjusts for certain items to reflect income from core operations and excludes the impact of nonrecurring items, including the runoff business, was $31 million for the quarter and $84 million year-to-date, which is greater than the prior year as a result of strong underwriting and growth in the business and higher net investment income. Diluted EPS was $0.31 a share in Q3 and $1.18 for the year-to-date period, which was lower than the prior year as a result of losses associated with the runoff program as well as unrealized losses on the investment portfolio. Operating EPS, which reflects core operations and excludes the impact of nonrecurring items and unrealized losses was $0.67 a share for the quarter and $1.80 for the year-to-date period, reflecting growth of 45% and 30%, respectively, over the prior periods. Consolidated ROE on a rolling 12-month basis was 2.8% at Q3 2023, while operating ROE was about 20%, which is higher than the prior year. Equity at September 30th, 2023, was up almost $600 million and is greater than the prior year as a result of positive net income in the period as well as the impact of the equity offering in the quarter. Book value per share was $12.58 at September 30th, 2023, and is greater than December 31st, 2022, as a result of profit generated from insurance and investment income in the period as well as the impact of the equity raise. As of September 30th, 2023, the debt-to-capital ratio was 11.1%, which was lower than December 31st as a result of an increase in equity during the period. The company remains well capitalized, and we expect to have sufficient capital to meet our regulatory and capital requirements. David, I'll turn things back over to you.
David Clare: Thanks Dave. Operator, we will now take questions. .
Operator: [Operator Instructions] Our first question comes from the line of Jeff Fenwick with Cormark Securities.
Jeff Fenwick: Hi. Good morning everyone. So Dave, I just wanted to start maybe in the U.S. market there. Obviously, there's been a lot of growth going on. Can you speak maybe just first of all, generally to the conditions you're seeing in the US markets south of the border? Is there any changes in the momentum what's going on there in terms of getting rates and the growth of volumes that you're seeing? And then maybe I'll just one follow-up there on your positioning.
David Clare: Yes, I think we have been continued -- or we have been observing continued momentum in the E&S space, I think impressively so. This year, that momentum is probably a little bit more specific by business line. You're seeing certain business lines with continued strong E&S pricing momentum. Some business lines are balancing. But in general, the market is still demonstrating a very healthy rate trends. And that's been benefiting us this year, especially in certain programs and certainly something we expect to continue through the end of this year. .
Jeff Fenwick: And I guess in that context, maybe you could speak to the program mix you have there. I think there's a couple of programs that may be dropped off from last year. Like what's the what's the turnover been, I guess, in the programs there today and the outlook as we have through the end of the year?
David Clare: Yes, if you look at our program count this year, it's been relatively stable, although increasing marginally. We're up to 71 programs now producing premium. That does include some turnover programs that have left us either because they didn't reach the scale that we expected them to or in the example of our Q4 experience programs that we no longer partner with. So it's, I think, a much more mature book than we've seen in years past, certainly a strong set of partners across a good range of programs. Our mix is evolving somewhat. We've talked about this for the past couple of years, a little bit less property in the book than we've had in the years past. We target about a 70% casualty, 30% property mix and are seeing that very much play out in the evolution of the book today.
Jeff Fenwick: Okay. Thank you. I'll requeue.
Operator: Our next question comes from the line of Nick Priebe with CIBC Capital Markets.
Nick Priebe: Okay. Thanks for the question. Can I ask you to expand a little bit on what drove the exceptionally low loss ratio in corporate insurance lines in the quarter? And just what your expectation would be for a through-the-cycle claims experience in that segment?
David Clare: Yes. Thanks, Nick. It's a good question. We do see from time to time, these very strong quarters from many of our Canadian lines. You've seen it in lines like surety. You see it in lines like corporate insurance periodically. But certainly, a low-teens loss ratio in corporate insurance is not a run rate expectation. This is as a result of a very strong underwriting by the team. So, it's something we should highlight and acknowledge in the Canadian group despite very strong growth for the past four or five years in that group. It's nice to see that growth has come alongside a very principled underwriting discipline. It is generally across most of the lines we write in the corporate insurance space. So, that includes financial lines, GL lines, so things like E&O, D&O, general liability, Fidelity products. We tend to stay within those lines with a niche products or partners. So, we're not doing the commoditized public company lines. We generally stay in a private company, charitable focus within the lines of business that we write in corporate insurance. The full cycle for a loss ratio in that business is likely closer to the low 30s. Although recently, we've seen that business line produced better results than that. And it was a strong quarter. it's certainly something we'd like to highlight, but I wouldn't straight line the loss ratio you've seen this quarter.
Nick Priebe: Okay, that's good. And then is there any update you're able to give us just on the progress towards acquiring the treasury listed surety platform just in terms of maybe timing or any updates that may be relevant there?
David Clare: Yes, we continue to interact with and share information with the regulators with the intention of driving towards the close of this transaction. Usually, we see these transactions take anywhere between four and six months. to achieve regulatory close. So, based on the timing of our application and the back and forth we're seeing, I would hope to report something in early 2024, and we'll update if that timing changes.
Nick Priebe: Okay. That’s it from me. I'll requeue. Thanks.
Operator: Our next question comes from the line of Marcel McLean with TD Securities.
Marcel McLean: Thanks. Good morning. I want to start on surety in Canada, it's been really strong for the past four quarters. I think you've described purity has generally being more balanced market than a hard market right now. So, can you just provide some color on exactly what's driving the growth? Is it more from the US expansion or from the acquisition? And the growth rate is much higher than those targets in the past. So, how sustainable is this growth we're seeing there?
David Clare: Thanks for the question, Marcel and I'll address the first part off the hop. I would say surety is a line unlike much of the commercial market that is not experiencing hard market pricing trends. So, it's important to note that, that is a very competitive space and not one that we're seeing some of the rate trends that we're seeing in other parts of the business. That being said, as you note, we have seen healthy growth. And I would characterize that growth is coming from a few different sources. First and foremost, we have a strong Canadian franchise in the surety space. And that line continues to demonstrate momentum in the Canadian space. Beyond that, we're now lapping about a full year of the acquisition of sovereign surety book. That has been a favorable transaction for us. And I think we've kept a little bit more of that business than we were anticipating to. So, a very nice outcome from an acquisition standpoint and good addition to the premium base of our Canadian platform. As you note, in addition to that, we've been expanding our US presence. So the US platform is operating in the surety space, so they're operating without a treasury listing or the full infrastructure that we'd like it to. And despite that, they've been able to produce a really healthy amount of premiums. So, as I noted in my earlier comments, year-to-date, we've got about $18 million of US surety premium, and we're expecting that to continue to grow. So, there's a few items contributing to it. It's not any one piece of the business that's leading that, but certainly a healthy quarter for growth. I would note, we do see quarters like this in surety, where you have single-digit loss ratios. We saw that in Q1. But it's worth noting that in the long term, we should continue to model this on the long-term averages. Surety tends to be lumpy in its claims experience and so you can see this and should continue to expect this to run our long-term averages.
Marcel McLean: Okay. And then just on top line growth there. So, is the outlook -- like I think you had sort of maybe high single, low double digits last time, if I recall. Is that sort of where you expect the business to trend back towards -- or could some of these initiatives you recently spoke about? Obviously, we're getting -- we're lapping the acquisition, but the expansion of the US and in stock, how do you expect that to sort of trend from here?
David Clare: Yes, I would say it's pretty safe to continue to expect this in high single-digits, potentially low double-digits. But it's a very mature business line, right? The success that we have in expanding in the US will determine the incremental that we have. But as a base expectation that high single-digits is fair.
Marcel McLean: Okay. All right. That’s it for me. Thanks.
Operator: Our next question comes from the line of Tom MacKinnon with BMO Capital.
Tom MacKinnon: Hello.
David Clare: Hey Tom, how are you?
Tom MacKinnon: Great. Yes, thanks. With respect to the specialty business in the US, I'm looking at the fronting fee written as a percentage of the premiums ceded. So, if I look in 2020 is like 5.7%, 2021, 5.6%, 2022 5% sort of year-to-date 2023, it's 4.4%. So, that number is coming down. Is that to say that the fees you're getting here as a percentage of the premium you're seeding is declining? How should we be thinking about that number going forward? And what's driving this?
David Clare: Thanks Tom. There's a couple of items driving this. First and foremost, it's worth noting that the fees we are getting from these programs are generally very consistent. You should expect around a 5% to 5.5% fee on these programs. But what you're seeing, especially in the evolution recently, so 2022 and year-to-date 2023, does have an impact on -- or from both the runoff program as well as reinsurance purchases that we make outside of the system. So, what you see is reinsurance purchases, which are generally accounted for through ceding commissions. The lower net premiums earned, which does impact the calculation of those ratios. So, what you've seen certainly this year and last year, some of those reinsurance purchases that we use to protect the balance sheet have lowered that reported fee ratio. I would say on the front lines of the business, we continue to require and expect that, that -- those fees range in the 5% to 5.5% level. but the reported metrics can be impacted by some of these outside items.
Tom MacKinnon: But you're naturally going to need reinsurance coverage. So, if you didn't have any reinsurance coverage, that would be 5% to 5.5%. But if you want to get your own reinsurance coverage, how should we be thinking of that -- what would that 5% to 5.5% be net of the reinsurance coverage that you would have to purchase?
David Clare: Yes, I think you're going to see an evolution of this as we balance the book from an exposure standpoint. So, we talked a little bit earlier in the call about the mix of business between property and casualty. So, the reduction that we've seen in some of those property exposed lines should reduce a little bit the requirement for some of these reinsurance purchases in the long-term. That should drive you to -- closer to that average 5% level. But in the near-term here, as we digest what was a difficult reinsurance market this year and the runoff experience. that has been depressed. So, as you're thinking about it in the long-term for your modeling purposes, the net level you should think about is likely around that 5% range. And that should be net of reinsurance purchases and any other nuances that impacted .
Tom MacKinnon: And has that had any impact on the fronting operational level? I assume it would have had some would it?
David Clare: It does, yes. And so you see, certainly in this quarter, as we renew our corporate cat cover. You do have some push-up of that front-end operational ratio based on those reinsurance costs that we purchase on our own balance sheet. That has impacted it this quarter. And that's certainly something that we'd like to see come back down to the low 80s to high 70s, and the expectation would be we see that through next year.
Tom MacKinnon: Yes. So, I mean -- so to sum up, it seems to be a function of the cost of the reinsurance purchases and you're trying -- and also the mix of the business that you have. So getting that fronting fees written as a percentage premium ceded ratio up higher, would consequently help that fronting operational ratio as well. Do I have that right?
David Clare: That's exactly right, Tom.
Tom MacKinnon: Okay. Thanks for that.
David Clare: Thank you.
Operator: [Operator Instructions] We have a follow-up question from the line of Jeff Fenwick with Cormark Securities.
Jeff Fenwick: Yes. Thanks. Looking about the investment portfolio and the investment income obviously has been a nice tailwind this year on the higher rates. How are you tackling positioning here we're maybe approaching an interesting inflection in the bond market? And how are you thinking about allocation as you go forward in terms of duration and mix?
David Clare: Thanks Jeff. We appreciate the question. This has been a part of our operation that's been striking in terms of its increase in contribution. For context, in 2022, interest and dividend income was about $25 million. And so looking forward, having this level now annualizing closer at closer to $55 million is a really material step-up in an expectation and contribution from the portfolio. To your question on positioning, we have generally only been allocating to investment-grade fixed income in the last 12 months. And -- that has be a great environment for us to deploy capital. There's almost less incentive for us to go outside of that market today because of the returns we see in that investment grade market as well as the more efficient regulatory capital treatment. we get and receive from that. I would say right now, you're right, there is some interesting inflection points around duration. And historically, we've stayed very, very short duration in the investment portfolio. But we've seen a little bit of flattening in the curve, especially in the US, where there is more incentive and certainly more yield to be found longer in that -- longer in the duration curve. So that term premium exists now, and it would be nice for us to start locking in some of these rates for a little bit longer period of time. So, that's an active discussion that we're having internally, and you'll likely see us consider those longer duration positions in the next few quarters as we hopefully normalize the economic environment and get confidence that the market becomes a bit less volatile.
Jeff Fenwick: Okay. Thanks. And maybe I could sneak 1 more in here. As you're approaching the end of the runoff program this year, you just provide us a bit of an update in terms of the mix around the reinsurance counterparty composition and how that's evolved since you've gone through this process?
David Clare: Yes, I think our reinsurance counterparty mix has stayed fairly consistent. We are on a consolidated basis, probably high 70s at this stage of rated reinsurance counterparties. We've also continued to reduce captive exposure. So, both of both of those nuances and both of those postures, I think, is consistent with much of the messaging that we highlighted at the beginning of the year. We're very much focused on the quality of our reinsurance counterparties focused on that rated group. -- and reducing the areas that we've had a bit of trouble with in the past, that being those captive exposures. So, we'll continue to talk about that and highlight it because it's an area that that I think is important for people to understand, but we're very happy with the progress that we've made this year.
Jeff Fenwick: Okay. Thanks for the color.
David Clare: Thank you.
Operator: That concludes today's question-and-answer session. I'd like to turn the call back to David Clare for closing remarks.
David Clare: Thanks very much, operator, and thank you to everyone for joining the call today. I would like to reiterate our appreciation for shareholders' continued support as well as the support for our recent equity raise. And to the extent we can share any more information, please don't hesitate to reach out. I think with that, operator, we'll close the call.
Operator: Thank you. This concludes today's conference call. Thank you for participating. You may now disconnect.